Margarita Chun: Good morning, ladies and gentlemen, and thank you for waiting. I'm Margarita Chun from IR, and we would like to welcome everyone to Pampa Energia's Third Quarter 2021 Results Video Conference. We inform you that this event is being recorded [Operator Instructions]. Before proceeding, please read the disclaimer that is located on the second page of our presentation. Let me mention that forward-looking statements are based on Pampa Energia's management beliefs and assumptions and on information currently available to the company. They involve risks, uncertainties and assumptions because they are related to future events that may or may not occur. Investors should understand that general economic conditions and industry conditions and other operating factors could also affect the future results of Pampa Energia and could cause results to differ materially from those expressed in such forward-looking statements. Now I'll turn the video conference over to Gustavo Mariani, our [CFO].
Gustavo Mariani: Hello, everybody, and thank you for joining our conference call. In case you missed the news -- in case you missed the news Gabby Cohen after sharing 18 years with us, decided to step down from his CFO position. Fortunately, he will remain as a member of our Board of Directors. So we will continue taking advantage of his wisdom and expertise. Gabby's well earned trust and respect from the investor community has allowed Pampa to become what the company that it is today. So our appreciation is tough to say in a few words. Gabby, thank you very much for all you have done for the company. Yesterday, the Board of Directors accepted Gabby's resignation and appointed Nicolás Mindlin, who is sitting on my right as our new CFO. Nico is an industrial engineer. He has been leading the M&A division of Pampa for 8 years already. He has played a key role in the acquisition of Petrobras Argentina, a significant milestone for our company. And since then he has been focusing, among other things, in reorganizing the portfolio of assets to focus in the core business that we have today. Nico, together with Gabby's team has all that is necessary to succeed in his role. So we wish him good luck in the -- in his new endeavor. Nico?
Nicolás Mindlin: Thank you, Gustavo for your support. Good morning, everyone, and thank you for joining. I'm very excited I'm very excited to begin this new chapter of my professional career in Pampa. I have been working in Pampa along with Gustavo, Gabby and all of Pampa's team and partners for the last 8 years. Gabby has done an excellent job on the financial front. He has put together an excellent team. So the idea is to continue on the same path. So now that travels and conferences are slowly resuming. I can't wait to meet all of Pampa's investors in person soon. So now I will pass to Lida who will briefly comment on the quarter highlights, and then later, we will open to the Q&A.
Lida Wang: Thank you, Nico. Hello, everyone. In the interest of time, I will summarize the latest events and financial figures. For more details, you can check our earnings release or feel free to contact us. On quarter's highlights, our E&P business achieved all-time high production of almost 330 million cubic feet per day in September, as you can see in the graph. Also, we recorded the highest single day outputs at 350 million cubic feet per day, precisely on September 15. The recovery of demand, exports and Plan Gas have been the main contributors for this growth. Moreover, this month, we participated in the first round of Plan Gas, a take-or-pay option to fill the remaining idle capacity at Neuquina Basin. The tender, we tendered and got awarded 71 million cubic feet per day, 2/3 of the total tender volume committed to deliver from May 2022 until December 2024 at $3.345 per MBTU. Therefore, the following winter, we should be producing a new all-time high of 400 million cubic feet per day, building an annual average price of $3.6 per million BTU. We highlight that Pampa is the only producer delivering the most significant gas increase compared to the winter of 2020. In power generation, we are moving on with PEPE III wind farm expansion project by doubling its capacity to reach a total of 106 megawatts. We assumed roughly $80 million of investment that will allow us to keep increasing our clean energy portfolio and strengthening our position in the business-to-business market. In Q3, we achieved a substantial leverage reduction. Our net debt decreased by $125 million in a single quarter. Year-to-date, we have accumulated $230 million of net leverage reduction. Finally, we just wanted to let you know that we released our 2020 sustainability report audited for the first time. We show material improvements in water consumption, energy consumption, with carbon footprint intensities, in line with the previous year's efforts to invest in efficient power technology and focus on gas. We see transparency to share our ESG performance with our stakeholders and your opinion is always welcome. Now let's move on to the quarter's financial KPIs. Revenues increased 49% year-on-year to $577 million in the quarter, mainly driven by Plan Gas boosted by the winter season, demand recovery and commodities price hikes. All of them were partially offset by certain power plant outages and tariff fees in our utility business. In Q3, over 85% of our sales and EBITDA were dollar linked. The adjusted EBITDA amounted to $262 million, 27% year-on-year due to the same reasons detailed before, offset by higher E&P activity. Quarter-on-quarter, EBITDA increased by 9%, mainly due to the seasonality and higher petchem volumes sold, offset by increased raw material costs in petchem and outages at Energia Plus power units. Thanks to the strong investments and production growth, oil and gas is balancing back its EBITDA share for the first time in 3 years. CapEx almost doubled year-on-year in Q3, but remains similar quarter-on-quarter, mainly because of the Plan Gas and Barragán expansion, offset by the commissioning of Genelba's second CCGT back in July 2020. Moving on to power generation as seen on Slide 7. We posted an adjusted EBITDA of $126 million in Q3, slightly lower year-on-year, mainly due to the outages that we said before and the end of Piquirenda's 10-year PPA offset by higher B2B sales and higher thermal dispatch, especially at Loma. In the legacy units, the 29% [PEPE swap] that received last February was diluted by the inflation -- devaluation. Quarter-on-quarter, EBITDA increased marginally due to the better B2B sales and seasonality offset by the retroactive spot price uptake. Spot energy is 59% of our capacity but only represented 24% of our power generation EBITDA which will keep shrinking unless recognition of prior adjustments keep up with the valuation. As these essential units to the grid continue being underpaid, it will be challenging to maintain them properly. However, recently, the government approved a price improvement for thermal legacy units, especially those with low load factor. Said improvement is temporary, payable between September and May and linked with the electricity exports made by CAMMESA. Moving to Pampa's spot operating figures. Power generation in Q3 was 13% up year-on-year, surpassing nationwide demand. We recorded higher CCGT dispatch at Loma and Genelba number one CCGT due to the better gas supply plus increased thermal dispatch with alternative fuels offset by the Plus unit's outages and low water import at Pichi Picún Leufú. Quarter-on-quarter, the output rose 18% driven by seasonality, but offset by the aforementioned outages. The power generation business model relies on capacity payments. So the most important is to keep the availability as high as possible, especially for PPAs. The availability rate in Q3 reached 95% slightly lower year-on-year, mainly due to [Indiscernible] and Energia Plus units partial outages. Regarding our expansions. The closing to CCGT at Ensenada Barragán is more than 60% advanced. We continue working on the steam turbine, cooling tower, boilers and diverters. Also, we are finishing the civil works and commissioning the high-voltage field. Around 1,700 people work in 2 shifts with all the COVID protocols in place to achieve the COD by second quarter of 2022. Moving to the E&P, we posted an adjusted EBITDA of $104 million in Q3, a remarkable growth year-on-year and quarter-on-quarter, driven by Plan Gas, winter season and demand recovery, offset by more royalties and resumption of activity. Our total lifting costs increased 36% year-on-year and 26% quarter-over-quarter, explained by higher production output. However, lifting costs per unit stood at $6 per BOE, 11% more than last year but similar to Q2. This is mainly thanks to El Mangrullo's high productivity. Our global production increased 23% year-on-year and 20% quarter-on-quarter, again, mainly driven by Plan Gas, winter and the local oil demand recovery to pre-pandemic levels. As a result, we averaged more than 57,000 barrels of oil equivalent per day, of which 92% is gas. On the oil side, which represented 23% of the segment's revenue in the quarter, volumes sold increased by 40% year-on-year and 31% quarter-on-quarter to 5,900 barrels per day, mainly explained by the local demand, offset by lower exports. And oil price, driven by the Brent was 50% increase compared to the last year, but we may see in our quarter-on-quarter. Regarding gas, as shown in Slide 10, our volumes sold average at 326 million cubic feet per day in the quarter, roughly 25% up year-on-year and quarter-on-quarter for the reasons explained before. Going back to our production performance. As I said before, we reached an all-time high record in September. Again, El Mangrullo led the quarter's growth, contributing close to 70% of our overall gas. This block is wholly owned and operated by us with outstanding productivity boosted by the increased treatment capacity. Our average price of the quarter was $4.4 per million BTU, 76% up year-on-year and 14% increase quarter-on-quarter, again, explained by the Plan Gas [under-peak]. The B2B and spot prices out of this GSA also reflected the seasonality similar to Plan Gas pricing levels. As you can see right below the year-to-date sales were -- are more diversified, similar to the country's breakdown. Gas retailers are also part of the Plan Gas and they have priorities in the winter, increasing their share to 39%. Also, we are growing, as you can see, our B2B share. Regarding our E&P operations update, we strengthened our investment by recording $62 million during the quarter, while it was marginal last year. This quarter, we drilled 8 tight gas wells Also, we completed 16 wells, of which 15 are tight and 1 is shale from Sierra Chata, a block that reached the maximum production rate of 28 million cubic feet per day becoming 1 of the most productive gas wells in Vaca Muerta. Also, as I said in the previous call, we are expanding the gas treatment plant at a El Mangrullo reaching about 310 million cubic feet per day by the first half of next year. In oil, we drilled 13 wells and completed 10 at [Indiscernible]. Moving to the petrochemical business, we posted an adjusted EBITDA of $7 million in the Q3, similar year-on-year. The higher raw material costs and Plan Gas impact compensated for the significant rise in commodity prices and industrial demand recovery. Quarter-on-quarter, the EBITDA have driven by higher raw material costs, offset by increased sales of reforming products. The year-on-year and quarter-on-quarter total sales volume increase was significant, especially in reforming products. In addition, roughly 50% of the quarter sales were exported. About cash and debt, though we are raising our CapEx to accommodate Plan Gas commitments, we must highlight another quarter with a solid cash flow position -- generation, driven by the outstanding operating performance from our core businesses and improved margins in the upstream. During Q3, the free cash flow resulted in roughly $108 million. In comparison, last year's quarter, represented $68 million outflow due to the higher working capital. Notice that this quarter, working capital and others were positive, mostly explained by improved collections from CAMMESA as shown in Slide 13. Delays halved to 23 days compared to the maximum 46 days achieved in Q1 of this year. In addition, we repaid a net of $60 million of principal debt and bought back shares for $3 million. So in total, we generated $44 million of net cash achieving $507 million of cash position by the end of the quarter. Moving on to the Slide 14. This slide shows consolidated figures, including our affiliate ownership. But let's focus only on the restricted group that reflects the bond parameters. As we began the call, our balance sheet keeps strengthening despite the context. We continue to reduce the gross debt, having canceled most of the peso maturities during the quarter, for $65 million, posting $1.5 billion as of September 2021. Almost 100% of the debt is denominated in dollars, up from the 96% in June. The dollar debt bears an average interest rate of 7.8%. The average life remains similar at 4.7 years. As said before, cash increased 10% quarter-on-quarter to $507 million. Therefore, net debt decreased by $125 million to $917 million, a remarkable reduction just in a single quarter. Given the lower debt and higher EBITDA, the net leverage ratio improved from 1.7x to 1.4x quarter-on-quarter. In the next 12 months, the company faces less than $20 million of maturities. Therefore, we expect to keep strengthening our balance sheet. As a result, S&P upgraded our stand-alone rating to B-. So this concludes our presentation. And before we would like to open the Q&A session. Marrie?
A - Margarita Chun: [Operator Instructions] Our first question is from Frank McGann from Bank of America. How much additional upside do you see in gas over the next few years? To what extent could this be held or limited by transportation capacity?
Gustavo Mariani: Frank, thank you for joining us in the call. We believe that the transportation capacity going out from the Neuquina Basin will be almost or completely full next winter. So as we have been saying, we talked about this in the previous conference call, it is crucial for the country to increase its infrastructure and transportation capacity from the Neuquina Basin to Buenos Aires, to the center of the country. And the government is fortunately working on that project. We hope it will be launched soon, but we have no clarity on when will that happen. But definitely, the country in order to continue increasing the gas production at Neuquina Basin, there is a need to build new infrastructure, new infrastructure. And this makes a lot of sense for the country because with this new pipeline, the country will be replacing expensive imports that we do, gas from Bolivia that cost around double from what the local producers are receiving. We will import less LNG, which cost at least 4x or 5x more expensive. And we are also importing during the winter in diesel oil and fuel oil, needing for all these imports dollars that are scarce in the country. So regarding the additional upside for a company like us, until this new pipeline, it's constructed, it could come from exports to Chile. And now that the transportation capacity out of the Neuquina Basin is completely full, it makes sense to allow firm exports to Chile, not only on the summer months but throughout the year. I think that, that will be the next step of growth for the industry. And going to numbers because of what we have committed on the third round, our growth on winter of 2022, vis-à-vis this winter will be roughly about 30%. So next winter, we will be delivering 11 million of cubic meters of natural gas per day starting in May vis-à-vis an average of 8.5 million cubic meters of gas per day that we deliver this winter. This winter, we have been ramping up started at 7 and ended in September at 9.5. Unfortunately, originally, we were thinking that our production was going to slow down during the summer months. But thanks to the export of electricity that the country is doing to Brazil, we are able to maintain the production. So we currently are selling the same level that gas that we sold during the winter, and we are keeping a plateau of 9.3 million cubic meters, 9.5 million cubic meters of gas per day. And we think this situation will stay throughout the summer and probably until next May when our -- our production will jump again to 11 million.
Margarita Chun: Thank you, Gus. Our next question comes from Ezequiel Fernández from Balanz. His first question is about results were great on the oil and gas side, but lifting costs have been increasing as of late at $6 per barrel. This is almost $1 per barrel versus 1 year ago. Is this related to the production ramp up, perhaps cost surges related to global supply chain. How should we think about this going forward? There is a second question, but let's answer the first one.
Lida Wang: So basically, yes, it's an important increase in our production that's why there's more fixed costs. And also, this is the first year of the Plan Gas. And last year, we did nothing, there was totally no activity compared to this year. And then there's a lot of increase in salaries and wages. So in real terms in dollars, it's an increase.
Margarita Chun: And the second question is very related to the first one. Also, are you pursuing cost increases in rigs and drilling equipment that you should be using next year? Or are you already contracted for that?
Gustavo Mariani: We are already contracted, and we've seen a slight increase in cost but nothing out of normal.
Margarita Chun: Thank you, Gus. Our next question comes from Alejandra Aranda from Itau. It's very related to the first question of Frank. Could you give us an update of what you're seeing in the gas market and bottlenecks to further develop the segment and timing of next Plan Gas around or further alternatives that you could explore to continue increasing volumes? Or should we view the 11 million cubic meter per day on winter a steady state for the near future? Could you share development cost? And what IRR cut are you using for new projects?
Lida Wang: Well, it says we should be viewing -- it depends. If we get the new pipeline, the new main pipeline that the government is pushing a lot to make it happen. We could see by 2023. I always say 2024, given the timing of building a better and higher winter production by 2024. You see -- you saw in the presentation, we expect to get 11 million by 2022. But in order to increase from that, we are still linked -- depends on the expansion in the main pipeline. What do you think about that, Gustavo, about the bottlenecks?
Gustavo Mariani: The reason why we were so aggressive in this turnaround is because we understand 2 things. One, is that we understand that until the new pipeline is working. The gas market from the Neuquina Basin will be very much constrained. That's why we wanted to be aggressive here. The second reason why we were very aggressive is because of the quality of our portfolio. And the reason why we are so competitive and we have -- I'm not comfortable giving IRRs, but I can tell you that it's comfortable IRR expectation that we have. But our portfolio, we are still able to continue developing shale -- tight gas reserve instead of shale gas. Most of our colleagues in the industry in order to maintain production or to grow or to slightly grow its production has been going after or developing shale gas, while we have the fortune of having within our portfolio still good reserves of tight gas which are favorable in economic terms vis-a-vis shale. That's why we've been so aggressive. So going forward, after the growth that we will have in 2022, and until new infrastructure is built the only chance to continue growing, as I said, is through exports to Chile for increasing our market share of export to Chile. That is the situation.
Margarita Chun: Thank you, Gus. Our next question comes from [Constantino Papalias from Pointe]. Congratulations on the results. Thank you. Could you share your expectations on the EBITDA impact by the maturity of the 180-megawatt PPA of Loma de la Lata steam turbine.
Lida Wang: So there's 2 PPAs that mature this year, one, very small, Piquirenda in July of this year. And then the big one, Loma de la Lata. Combined pro forma basis, it's $60 million per year of decrease. So they will be billing around $15 million per year EBITDA as we speak going forward, [IMA] spot energy.
Margarita Chun: Thank you, Lids. Our next question comes from Guilherme Levy from Morgan Stanley. I wanted to understand the current appetite for -- to advance in new M&A in E&P. If the company could take advantage of the current macro environment to expand its shale acreage at a more attractive valuation even if shale gas exploration is not a priority at this point.
Gustavo Mariani: Marrie, can you repeat the question?
Margarita Chun: I wanted to understand the current appetite to advance in new M&A opportunity in E&P, if the company could take advantage of the current macro environment to expand its shale acreage at a more attractive valuation even if shale gas exploration is not a priority at this point.
Gustavo Mariani: I would say that we are very comfortable with the gas reserve and the portfolio on natural gas that we have, and we don't need to increase those reserves. It could be different on the oil side. We has always been in our history and continues to be. We are always searching for opportunities. Nothing has -- nothing concrete has materialized, but we're still looking for opportunities on the oil side -- oil reserves in Argentina.
Margarita Chun: Thank you, Gus. There is 1 question about M&A from [Michael Shen] is very related to the last one. What opportunities to invest or acquire gas-related assets given the improving outlook? Is the probability of the new pipeline increasing based on support from an interest -- from an interest of the IMF?
Gustavo Mariani: No, the part of the M&A I already answered. We are not look-- doesn't make sense for us to increase our portfolio of natural gas. Not even if the pipeline is built and we can significantly increase our production. We have -- we have reserves of excellent quality, probably the most competitive of the Neuquina Basin. So we don't see a need to increase our portfolio there. Regarding the IMF, I have no clue what the IMF thinks about this, but I would say that it's so obvious that it will help the macro of Argentina. The cost of building this pipeline will be repaid almost immediately, probably in a year, 1.5 years, 2 years. Obviously, it will depend on what at what price winter gas is sold in Argentina and what is the import parity that we will be replacing. But I'm sure -- and within current pricing gets repaid very, very quickly. So although I cannot tell you for sure, I would say that -- to anyone that analyzes the situation, it's an obvious. It's very obvious that Argentina needs to do this pipeline.
Margarita Chun: Thank you, Gus. Our next question -- there was another question from Ezequiel Fernández from Balanz. The second question is related to the cash position. With the 2022 cash flow also expected to be pretty good, what are you thinking about cash uses regarding buybacks, the 2023 bonds or possible investment during the next year?
Gustavo Mariani: Regarding our cash position, we have First, we'll be increasing our investments within our core businesses. So in order to increase our gas production by 30% next year. That is a significant CapEx that we will be doing. We will also -- we hope to as Lida said, we are eager to expand our wind farm at PEPE III by -- we are deciding between 60 to 80 megawatts of capacity and started construction as soon as possible. And regarding repurchase of our own assets, you know that we do that on an opportunistic situation. So if there is an opportunity to repurchase our own debt or our own shares, we will probably go back to that. We have been -- we have not been doing so recently because of the price -- because both our debt and our shares has been recently going up. So we've stopped repurchase of shares, and we haven't been repurchasing our own debt for a while. But we might resume at any time if there is an opportunity.
Margarita Chun: Thank you. Our next question comes from Anne Milne from Bank of America. She has 2 questions. The first one, you commented there was a temporary price increases for some thermal capacity between September and May and linked with exports by CAMMESA. Can you tell us more about this, please? And this is not only for thermal, it's also for hydro?.
Gustavo Mariani: It was just published a few days ago and is 2 things. For the legacy capacity in power generation, machines that had a low dispatch we're not collecting the full price of capacity. They were collecting if I'm not wrong 70% of the full price of capacity because of their low dispatch, 60% of the price of the capacity. What they have eliminated this reduction factor. So -- and they did it on a [retractive] since September. So from September to May, this reduction in the price of capacity has disappeared. That, in our case, helps our Central Termica [Indiscernible] in the North and Central Piedra Buena in the south of the [previsão] Buenos Aires which are steam turbines that have low dispatch that roughly, to give you an idea, has $1.2 million per month of additional revenues. And the other news was this new fund related to export of electricity to Brazil. And as long as CAMMESA continues. And we think that it will continue throughout all the summer and into -- until next May exporting electricity to Brazil, part of that profit is shared with the legacy capacity. So I think it's $10 per megawatt hour. That is that goes to this fund and the fund is shared among the units that have dispatched energy during that month. And for example, for us, in the month of September, that was an additional $1.2 million of revenues. So in total, both these 2 new regulatory changes added in September $2.5 million of revenues.
Margarita Chun: Thank you, Gus. Our second question from Anne Milne is 2022 outlook. Let me mention that we don't give any guidance. We can give you what we have in the budget. The question is, what are your current CapEx forecast for next year? How do you expect the power and oil and gas market to evolve next year? To the extent it is possible to provide any commentary.
Lida Wang: So this year has been a very interesting year. Next year, we expect to maintain a little bit lower -- The E&P CapEx, E&P this year is forecasted to end at around $200 million. Next year, it's -- we'll be close to that but a little bit lower because a lot has been done this year. That's the first year of Plan Gas. Power generation will remain very similar -- a little bit higher. This year it was $40 million. Next year, we are expecting to do only $60 million. This is just maintenance. There's no expansions and this is not including Barragán. And that's it. It's compared -- this year total, it's $250 million more or less of CapEx. And next year, we are expecting something a little bit lower than that, but pretty similar.
Margarita Chun: Thank you, Lid. Our next question comes from Florencia Mayorga from MetLife. After impressive deleveraging, what's next for Pampa? Do you expect to keep leverage below 1.5x on a consistent basis?
Nicolás Mindlin: So the answer would be no. In general terms, we feel comfortably below 2.5x. But if there are some opportunities for investment in the upcoming years, that ratio could increase a little bit.
Margarita Chun: Thank you, Nico. Our next question comes from Carolina Carneiro from Credit Suisse. This is related to the legacy remuneration in addition to the transitionary remuneration, we got this month. Do we have any update for price adjustment scheme for legacy capacity generation? Any views on generation dispatch you can share for next quarters, given hydro situation in Latin America possible impacts from La Nina.
Gustavo Mariani: No, we have not envisioned -- I think what we have just received regarding remuneration of our legacy capacity will be all until next February. That is when -- in the next February, we should be getting the price adjustment -- remember, this year, we've got a 29% increase. It was slightly below 2020 inflation. We think that this February, we will be collecting something similar to 2021 inflation. That's what I think is most probable scenario, but it's personal expectation. There's been no guidance from the regulator.
Margarita Chun: Thank you, Gus. Our next question is an additional question from Alejandra Aranda from Banco Itau. Follow-up, how much do you believe we could export to Chile? And what kind of prices are you getting?
Gustavo Mariani: We are currently exporting 1.5 million cubic meters of natural gas per day to [Indiscernible] that's on a firm basis. And then [Indiscernible], how do you say this?
Lida Wang: Spot.
Gustavo Mariani: Yes. Spot gas, we are selling around an additional -- in average, it changes every day, but around 0.5 million cubic meter of additional gas. So between 1.8 million to 2 million cubic meters of natural gas per day is what we are currently selling to Chile. Expectation going forward, but it's not going to happen until probably next spring in Argentina could be to double those exports. But it's not something that would happen in the short term as we are at full production capacity these days, until May of next year, we are almost full capacity of production.
Margarita Chun: Thank you, Gus [Operator Instructions]. Our next question comes from Lilyanna Yang from HSBC. Could you please disclose CapEx plans per business segment? Keep in mind that this is not a guidance. This is the latest budget that we have.
Lida Wang: So because some people are saying that they couldn't hear this part. Basically, this year, we are ending $250 million of CapEx. This is at the restricted group, $200 million from E&P. Next year, we are estimating something a little bit lower than that. It's around $180 million, $190 million, not very different from this year, but a little bit lower. Power generation is a little bit higher. This year was $40 million of maintenance CapEx. Remember that we ended all our expansions the restricted group. Next year, there is some special maintenance CapEx that we have to do. So we will ramp up from $40 million to $60 million. And then the rest is very small, just the petchem. So overall, this year, $250 million; next year, around $240 million, around those levels, very similar but lower.
Margarita Chun: Thank you, Lily [Operator Instructions]. Our next question and final one is from [Indiscernible] How do you feel about your current netback level? Should we expect further deterioration of the lifting cost?
Gustavo Mariani: No, we are not expecting a further deterioration of the listing costs, and we are comfortable as shown by the aggressiveness in the last round of the Plan Gas bidding. We are very comfortable with the net back levels that we have in the natural gas business.
Margarita Chun: Thank you, Gus. This concludes the Q&A session. I will turn to Lida for final remarks.
Lida Wang: Well, thank you so much for joining us in this exciting quarter. Gus, Gabby, Nico, would you like to make some remarks? Gabby?
Gustavo Mariani: Just a goodbye.
Gabriel Cohen: Well, hi, everybody. Just to say goodbye as Gustavo mentioned. This has been very great 18 years in this position, and I'm stepping down only on my executive function, but I will say in the Board. So it's also a great honor for me. And well, essentially, I don't know what I'm going to do. So let's assume it's like kind of sabbatical and I'm quite confident that the Pampa is in very good shape. So that's why I comfortable to make this move at this point in time. So I know that Nico and all the team will make a great job, and I'm also here. So new generation and for new transactions, as I hope that will come hopefully soon. So thank you very much everyone.
Lida Wang: All right. See you next quarter in March. Thank you so much. Any questions, just let us know, write us, contact us, we are available for you.
Margarita Chun: This concludes today's presentation. Thank you for joining. You may disconnect at this time. Goodbye.